Operator: Good day, and welcome to the InterDigital Fourth Quarter and Full year 2011Financial Results Conference Call. Today's call is being recorded. At this time I would like to turn the conference over to Janet Point. Please go ahead.
Janet Point: Alright and thank you. Good morning, everyone and welcome to InterDigital's fourth quarter and full year investor conference call. With me this morning are Bill Merritt, our President and Chief Executive Officer, and Scott McQuilkin, our Chief Financial Officer. Before I turn the call over to Bill, I need to remind you that during this call, we will making forward-looking statements regarding our current beliefs, plans and expectations, which are not guarantees of future performance and are subject to risks and uncertainties that could cause actual results and events to differ materially from the results and events contemplated by such forward-looking statements. These risks and uncertainties include those set forth in the earnings press release published earlier today and those detailed in our annual report on Form 10-K/A for the year ended December 31, 2010, our subsequently filed quarterly reports on Form 10-Q and from time to time in other filings with the SEC. These forward-looking statements are made only as of the date hereof and as except as required by law we undertake no obligation to update or revise any of them, whether as a result of new information, future events or otherwise. So with that taken care of, I’ll turn the call over to Bill.
Bill Merritt: Thanks, Janet. And good morning to everyone. As you may have notice, we are busy preparing for the 2012 Mobile World Congress Show in Barcelona. Over the last week we have issued four press releases, two of which describe our technology demonstrations at the event, each driven by inventions that are redefining Mobile, which is the theme of this year’s Mobile World Congress. In turn, our licensing activities continue at pace, just last night we announced a new LTE license. I would like to spend time this morning discussing those of these areas in more detail. First, an update on our core terminal unit licensing program and then second, our expectations for Barcelona. We are very happy to announce last evening another 4G LTE patent license. This one with CR wireless. This expanded license agreement conform to our 4G business plan and is the first of what we expect to be a solid set of agreements that we hope to deliver during the year. Indeed the licensing pipeline remains very full, involving companies from large to small, and with the discussions ranging from technical details about the patent to the specific license agreement terms. We also continue to move ahead with the current ITC infringement litigation involving Huawei, Nokia, ZTE and LG. We are approximately 30% of the 3G handset market share as of the end of 2011. We believe we have a very strong case. As such we hope that some of these parties will decide to negotiate a fair value creating license agreement prior to the case going to trial in the fall of this year. In that regard we remain open to entering that license agreement on fair terms. We have shown the ability to be creative and flexible on how we structure deals, so long as we secure appropriate compensation for the use of our inventions. We are also open to broader business relationships with these and other companies involving patent sales and strategic technology developments. We believe our flexibility remains an important part of how we work within the wireless industry. That said, our flexibility is not without its limits and we will enforce our patents against any company to the extent we cannot arrive at an amicable solution. As for the upcoming show in Barcelona, we have very high expectations. The theme of the show “Redefine mobile” speaks to InterDigital’s heritage and bright future. Both of which are defined by thinking about what the next generation of wireless should do and in creating the inventions to make that vision a reality. It is a history of consistent success that we correctly envision shift from analog to digital, from voice to data and from narrowband to broadband. Our current vision in no less precise. For over five years we’ve been evangelizing a network of networks, in which people and things are intelligently, seamlessly and dynamically connected across the myriad of wide, local and personal area networks. Simultaneously addressing capacity, coverage, use of experience and cost. The cellular world has now borrowed that phrase and even more importantly, the cellular standards have begun to adopt that vision. It is more than just a vision however, as we will demonstrate at Mobile World Congress, our researchers have created suite of technologies that will drive tomorrow’s network of networks, including policy driven bandwidth management techniques that enable users’ data to be routed over a single cellular or Wi-Fi network or dynamically switched to another network. Our solution can also combine signals across several networks to aggregate bandwidth or even split those signal to segregate different parts at a multimedia stream simultaneously among several networks. We have also pioneered technology for harvesting additional capacity from TV white space and other utilized frequency bands to supplement existing cellular and Wi-Fi systems. The US policy makers are sensitized to the need for additional capacity, and this is one of the areas being pursued. The company’s comprehensive dynamic spectrum management technologies address more efficient utilization of the finite resource that is spectrum, a critical new frontier. We have also invented ways to leverage the idle capacity of billions of wireless devices being used. Our innovations in mesh networking and peer-to-peer communication leverage terminals as helpers and relays to extend reliable coverage in dense urban environments, around obstructions and indoors. In addition, we have embarked on a newer initiative to drive innovation in video over wireless as the video traffic is expected to dominate bandwidth consumption on wireless networks. But unlike other industry efforts which have viewed compression in a vacuum, we target the intersection of video technologies and wireless technologies, leveraging our substantial knowledge of wireless to create wireless aware of video processing and video aware wireless designs, both yielding compelling improvements in picture quality, bandwidth consumption, power, delivery cost to real-time performance. All of these technologies will be on display at our booth at Mobile World Congress. As usual we have a pact meeting scheduled with all parts of the wireless ecosystem. We intend to leverage our presence at Mobile World Congress and to further interest for our solutions, both in terms of driving the worldwide standards effort and in generating specific customer interest in working with us to incorporate our solutions into their field trials and commercial products. Indeed, we see a number of market dynamics that can make our solutions not only applicable to the wider market, but also to specific vendors. For example, while Google has had a great deal of success with its android operating system, a common complaint among android vendors is the difficulty in product differentiation. Without differentiation, the competition happens only on price, and in that instance the companies with scale always wins and everyone else losses. Coming to shifts and market share that have occurred over the past two years are evidence of that challenge. While our solutions ultimately are targeted for standardization, vendors have an opportunity to get ahead of the standardization process and use our solutions today to provide valuable product differentiation. For example, our Smart Access Manager technology can be deployed on today’s phones and used on today’s network to deliver higher quality service in terms of seamless and more reliable wireless access. Similarly, our machine-to-machine architecture, while targeted towards standardization, can also be integrated today to provide a more sustainable and manageable platform for deploying machine-to-machine connections. These are the conversations we are having and we’ll have more over the coming months, including at Mobile World Congress. Indeed, we think our comprehensive set of offerings differentiates us from other licensing models that will be important as we drive towards our goal of achieving $800 million in sustainable annual revenue over the next three to five years. For sure the main driver of that success will be the strength of our patent portfolio, and that portfolio has never been in better shape. With over 19,500 patents and patent applications, a number that has grown by almost 6% a year, we are among the best positioned in the industry to drive success in patent licensing as it depends greatly on scale and we have substantial scale. Moreover, that scale could be used in a number of ways. For sure it can be used directly in licensing discussions and litigation, as prospective licensees’ ways and ways of InterDigital – inventions owned by InterDigital. That scale also supports the new component of our strategy to sell non-core patent assets. This addition to our strategy brings a level of differentiation to our business model that we believe will drive further our success. Indeed, as we figure out marketing, some of our patents, we have already seen good interests with prospective patent licensees. We will seek to leverage that interest and to build value-added licenses and patent sales. In summary, we believe the opportunity ahead of us is very substantial. The market is already there and it’s very large. Our inventions are already in use across that market. Our job is to deliver agreements. We are off to a good start and with all the tools we have available in terms of patents, technology and engineering services; we have the ability to offer compelling solutions to prospective licensees. With that, let me turn over to Scott.
Scott McQuilkin: Thanks, Bill. I am pleased to report solid fourth quarter results. Revenue was $77 million, operating expenses were $41.5 million and net income was $22.8 million or $0.49 per diluted share. Previously we announced that we expected fourth quarter 2011 revenue and earnings per share would be $74.2 million and $0.46 respectively. The $2.8 million increase in revenue was due to the recognition of past sales revenue related to our fourth quarter 2011 royalty received. Fourth quarter 2011 revenue of $77 million, decreased $18.3 million from $95.3 million in fourth quarter 2010. The year-over-year decrease was primarily due to the absence of $14.4 million in royalties from LG, combined with a $7.6 million decrease in technology solutions revenue, which related to the completion of certain agreements in 2010. In addition, the results do not include revenue for disputed royalties that have been deferred pending the outcome of an arbitration proceeding related to one of the company’s technology solution agreements. As of December 31, 2011 we have deferred $29.7 million of revenue in connection with this arbitration. Revenue from current patent royalties was $71.5 million in fourth quarter 2011 compared to $85.2 million in fourth quarter 2010. Current patent royalties from per unit agreements totaled $37.9 million or 53% of total current patent royalties, an increase $2.3 million or 6% from fourth quarter 2010. Current patent royalties from fixed fee agreements totaled $33.6 million and accounted for 47% of total current patent royalties. Revenue from fixed fee agreements decreased from $49.6 million in fourth quarter 2010 primarily due to the lack of revenue from LG. on a sequential basis, current patent royalties increased to $71.5 million or 6% from $67.4 million in third quarter 2011. The increase is due to growth in per unit royalties from a number of our licensees. Past sales royalties were $3 million in fourth quarter 2011 and related to an existing agreement. There were no past sales in fourth quarter 2010. On a sequential basis, past sales royalties decreased to $3 million in fourth quarter of 2011from $7.9 million in third quarter of 2011. Technologies solutions revenue was $2.4 million in fourth quarter 2011 compared to $10 million in fourth quarter 2010. The decrease was primarily due the absence of revenue from certain technology solutions agreements that we completed in 2010. On a sequential basis, technologies solutions revenue increased to $2.4 million in fourth quarter 2011 from $1.2 million in third quarter 2011, due primarily to royalties from our modern technology as well as revenue from technology development services agreements. Turning to the expense side, the fourth quarter 2011 operating expenses were $41.5 million. This is basically flat with fourth quarter 2010 operating expenses of 41.6 million. Excluding intellection property enforcement and non-patent litigation costs, operating expenses were $30.8 million in fourth quarter 2011, down $8.8 million from $39.6 million in fourth quarter 2010. The decrease is primarily due to a $6.6 million decrease in long term compensation costs and a $4.6 million decrease in sub-license fees related to technologies solutions agreements that were completed in 2010. Of the $6.3 million decrease in long term compensation costs, $5.7 million was due to a reduction in the accrual rates for two of the performance cycles under the company’s long term compensation program from 100% to 50%, which was due to the impact of the company’s strategic alternative review process and the timing of license agreements. Because our long term compensation program is structured in overlapping three year cycles, this adjustment reflects the cumulative impact on all prior period accruals. In addition, these decreases were partially offset by a $0.8 million increase in personnel related costs and a $0.5 million of expense associated with the strategic alternatives review. Intellectual property enforcement and non-title litigation cost were $10.5 million in fourth quarter 2011, up from $2.1 million in fourth quarter 2010. The increase from a relatively low level in 2010 is due primarily to costs associated with the new ICT proceeding with Nokia, LG, Huawei and ZTE that was initiated in 2011. As I have mentioned before, this element of our expenses can vary from quarter-to-quarter based on the level of activity. On a sequential basis, fourth quarter 2011 expenses were $41.5 million, a $2.8 million decrease from $44.3 million in third quarter 2011. The decrease is due primarily to a $6.1 million reduction and long term compensation expense and a $0.5 million decrease in personnel costs offset by a $3.8 million increase in intellectual property enforcement and non-patent litigation costs. Going forward, we will continue to aggressively manage our expenses. First quarter of 2012, we expect our expenses will not include the $4.6 million adjustment to the accrual for long term compensation that was reflected in our fourth quarter 2011 expenses. Additionally, we expect to see some normal seasonal increases related to personnel and trade show expenses. Of course expenses associated with intellectual property enforcement will vary in accordance with the level of activity. Our balance sheet is very strong. We ended fourth quarter 2011 with $678 million in cash and short term investments. We think of our cash position in terms of three buckets. The first bucket is the cash we maintain on the balance sheet for financial strength and stability. I can tell you that the licensing process moves much better when you have a minimum net cash position well in excess of $100 million. Second bucket, consist of cash intended to support our normal business operations. The size of this bucket can vary over time depending upon the timing and amount of prepayments as well as expectations for future cash receipts from existing licenses, new licenses and patent sales. Over the past two years, we have received some fairly significant prepayments which would normally increase the size of this bucket. However, some of these prepaid cash balances are due to be replenished this year and in addition; we expect to receive cash from other existing licenses as well as new licenses and patent sales. We expect the patent sales through the identified patterns have initiated the marketing process with prospective buyers. The third bucket is discretionary cash; this is cash that is available for acquisitions, investments or a return of capital either in the form of buy-back or dividend. How we use this bucket of cash can vary over time, but the objective is always the same, to generate the highest value for the company and its shareholders. As we’ve stated on a number of these calls, a return on capital will deliver value to our shareholders. However, we also believe that there are potential opportunities to generate even greater value through acquisitions of complementary patent portfolios, as well as small technically deep businesses that strengthen and expand our licensing opportunity. So for the time being, we intend to maintain a relatively strong cash position in support of strategic investment opportunities. That said, we believe our cash position supports ability to capitalize on market opportunities in the wireless industry and provide capital returns to shareholders. And we intend to aggressively manage this cash in a manner that delivers the highest value of the company and its shareholders over time. In first quarter 2011, we initiated the payment of the regular quarterly dividend and since 2006, we’ve invested close to $500 million to repurchase about one-third of our outstanding common shares. We recently resumed share repurchases and through February 22, we completed about half of the $100 million share repurchase program previously authorized by our board of directors. In summary, we believe that we have many opportunities as well the financial capacity, flexibility and discipline to execute on our business strategy and drive shareholder value. Now, I will turn the call back to Janet.
Janet Point: Alright. Thank you, Scott. And now we’ll open up the call for Q&A. so, operator, could you give the instructions to the participants.
Operator: Thank you. (Operator instructions). We’ll take our first question from Charlie Anderson with Dougherty & Company.
Charlie Anderson - Dougherty & Co.: Good morning and thanks for taking my questions. I just want kind of want to follow up on the CR Wireless deal. I am kind of curious where they were in the duration of their existing deal, the come back and add in, 4G. And kind of how I should think about that with some of your current licensees that maybe have a longer term deals for 2G and 3G but don’t have a 4GDL and kind of is there a pipeline for them to come in the few years they start to ship more of these 4G devices?
Bill Merritt: So, CR wireless was sort of in the middle of that terms and the deal just did not include LTE. So while the license itself had time to run – a fair amount of time to run, it was missing that component. For we went back to them because they were announcing plans to ship LTE products and upgraded the license to LTE consistent with our plans, and that type of upgrade to a licenses, we would hope to be fairly typical with respect to a number of our folks that have longer term deals but may not have LTE as a component of those deals.
Charlie Anderson - Dougherty & Co.: Perfect. And I think if I recall back in 2010, you guys added maybe $75 million or so of incremental revenue from new deals. I wonder if you could maybe help me size what the opportunity is for this year. Is it kind of based on the pipeline that you are seeing today?
Bill Merritt: Well, it’s pretty substantial. I mean the opportunity. If you just think about the opportunity sitting within the ITC litigation, that’s 30% of the market. And as we described when we were on the road with you, Charlie and other folks, in a while – we can never predict what’s going to happen. Certainly it’s not uncommon for folks to settle litigation and particularly when the litigation that they are facing is a particularly strong one, and we think ours is strong. So I think just those folks represent a pretty substantial – if we can get just some of those folks to come across, I think represents a pretty substantial step function in revenue. But there’s also people outside of that group of course and we are engaged with all them, and what I tell you is that – we mentioned it in the script, is the pipeline’s pretty strong of the strategy so far as having the effect that we wanted it to have is to motivate people. So given all that – while there’s a lot of work to be done in 2012, I think we’re well positioned to get it done and so we’ll see how the year goes. But I think if done right this year we could end up pretty strong at the end of the year.
Charlie Anderson – Dougherty & Company : Great. And then just a couple of housekeeping questions for Scott. I wonder if you could maybe help me with expenses in Q1, operating expenses ex litigation, if you have any sort of a range there in absolute dollars. And then I was also curious what Japanese revenue was in the quarter as a percent of the royalties?
Scott McQuilkin: Yeah, sure. In terms of expenses, as I said there is a $4.6 million benefit from the adjustment in the long term comp accrual that will not recur in Q1. And then there are going to be normal seasonal expenses. If you look at those seasonal expenses going from fourth quarter to first quarter a year ago, they were in the range of $4 million just to give you a little perspective on that. It’s things like vacation accrual, fringe rate, the Barcelona trade show that Bill referenced and a few other items. So hopefully that’s helpful.
Charlie Anderson – Dougherty & Company : Got it. And then in terms of Japan?
Scott McQuilkin: Yeah, Japan in the fourth quarter was about – and I’m capturing basically four per unit licenses. That’s about 20% or so of our revenue and for the full year was about 20% of our revenue as well.
Charlie Anderson – Dougherty & Company : Okay. Thanks so much.
Operator: Our next question is from Jonathan Skeels with Davenport.
Jonathan Skeels – Davenport & Company: Hi guys. First question just on the patent sale focus, can you talk about whether you see demand for those patents coming from licensing companies or operating companies? And then secondly, can you talk about your strategy in terms of how you decide whether you want to sell specific non-core assets or partner on them?
Bill Merritt: So the demand we’re seeing is actually across all types of companies in terms of whether it’s operating companies, licensing companies, even private equity interested in participating there. So that’s good. Again we’ve started leveraging the interest we saw during the process and then, but also as we said we’re reaching out to some other folks and so far there seems to be good interest across the broad spectrum of folks. In terms of what we decide to do, ultimately it will be whatever creates the greatest value. That’s kind of simple answer. And there obviously on a sale you have the known amount. That’s the sale amount. A partnership can be structured in a number of a ways. So a partnership can be one where you get partially cashed out and then there’s a future revenue stream and you just have to measure the future revenue stream in terms of how confident are you in risk adjusted and compare that to your sales value. So I think we’ll have a number of benchmarks that we can look at. So it’s not like we’re only measuring a partnering opportunity. We’ll be able to measure a partnering opportunity against a sale opportunity and pick the one that delivers the highest value. And the other thing I’d say is because there’s more than one portfolio that we can offer for sale, we may be able to do a mix of those sales and partnerships.
Jonathan Skeels – Davenport & Company: Okay, great. Thank you.
Operator: We’ll take our next question from Daniel Bretthauer with MDC Financial Research.
Daniel Bretthauer – MDC Financial Research: Hi. Good morning. I noticed that you recently filed a confidential motion to amend the complaint in ITC investigation number 337800. Can you comment on what you’re seeking to amend there?
Bill Merritt: It was confidential. I don’t think I could get into it on the phone.
Daniel Bretthauer – MDC Financial Research: Okay. Next question is do you have any major licensees you have agreements with that are set to expire in 2012?
Bill Merritt: Yeah. Samsung would be the biggest that runs out at the end of the year. RIM would also run out at the end of the year.
Daniel Bretthauer – MDC Financial Research: Okay. And on the Samsung license, when it does expire, would it have paid off its license for a 3G technology or would it need to renew its license with you to be licensed for your 3G technology?
Bill Merritt: It would need to renew. There’s no paid up component of 3G.
Daniel Bretthauer – MDC Financial Research: Okay. Thank you very much for taking my questions.
Operator: (Operator instructions). Our next question comes from Jeff Kvaal with Barclays.
Sarah – Barclays Capital: Hi guys. This is Sarah on behalf of Jeff. I have two quick questions. To follow up on the prior one you guys mentioned, well in terms of your contract, I know you had mentioned previously that some are structured so that you can add 4G and some other contracts need to expire before you can renegotiate these contracts. Are there any major ones that do not allow for you to add 4G in the middle of it? And then the second question would be, taking Sierra as an indication it seems like you guys are definitely making progress on your new contract agreements. Is your 1Q guidance still intact and just to clarify that doesn’t include any new deals, I think the 69 million?
Bill Merritt: Right. The 69 million does not include any new deals. In terms of the license agreements, I think for the most part looking at the question from a general sense, we have opportunities with I think nearly all of our licensees to go back to them with LTE as an addition to the license. There may be a couple of exceptions for that, but generally I’d say that that’s an opportunity with a vast majority of our licensees.
Scott McQuilkin: And just to be clear Sarah, we’re not changing our guidance for the first quarter.
Sarah – Barclays Capital: Okay. Great. Thanks guys.
Operator: We’ll take our next question from Nicholas Rodelli with CFRA Research.
Nicholas Rodelli – CFRA Research: Good morning everyone and thanks for taking my question. A bigger picture question if I might. What we’re seeing is that in connection with Smartphone litigation between Apple, Motorola, Microsoft and others, there seems to be a movement towards a stress test, for lack of a better description, of patent law generally, including the question of availability of injunctions on declared essential patents. And it’s just one example of one of the contested questions that are working their way through the system. My question is, are there any particular issues percolating through on the litigation front? And frankly with the regulator says well that you’re watching with particularly keen interest at this point.
Bill Merritt: True. A couple of things. Obviously we’re all watching both the regulatory and the legal landscape because it is important to the business. We generally with respect to the issue of FRAND and our licensing position, we’ve had that argument run against us specifically in the last ITC case and came out very strong on that case. The program was viewed as doing the right thing and I’d also tell you that in prior litigations not involving us, one was the Broadcom, Qualcomm litigation. Broadcom actually used us an example of what FRAND should be. So the question with respect to the regulators, are they looking for behavior outside of FRAND and my sense is when the EU announced their investigation on Samsung that that’s what they were looking at. It’s not to change the rules but what do you do when someone breaks the rules? And I’m not saying that Samsung did or didn’t. I’m just suggesting that that – we think where that’s going. So we do keep an eye on it. I think our practices have been where they need to be so that we can weather changes with respect to that. That said, we also make sure that we run a program that kind of hedges against changes in that system. So as an example within the ITC litigation, one of the patents that – or more than one patents in that case are non essential patents so the same argument is going to apply. So again it’s a real lot of noise in the system and that’s typical when you have the large companies going at it. But at this point we think we’re in pretty good shape to weather a set and even if they were to make any changes in the system.
Nicholas Rodelli – CFRA Research: Okay. Thanks for taking my call.
Operator: Our next question comes from Ron Shuttleworth with M Partners.
Ron Shuttleworth – M Partners: Good morning. Thanks for taking my call. I just wanted to follow up on the Sierra Wireless 4G detail if you don’t mind. I was just wondering if you considered this deal to be a major, a minor or mid level deal for you from a licensing standpoint.
Bill Merritt: I think it’s – I probably used the word solid. It’s validated the business strategy in terms of the rate structure that we’re seeking with respect to 4G. Sierra is a very capable organization as well in terms of how they manage their business and manage their IPR. So I think it was one where we had to present our case and I think that went well with them. So obviously they’re not a big volume producer, although they obviously do very well in the space they participate in. So I think while from a revenue standpoint it’s never been a big deal for us, I think from a continuing validation of the LTE portfolio I think it was a very good step.
Ron Shuttleworth – M Partners: Okay. Earlier in the call you mentioned – this is just kind of a follow up. You mentioned that you are able to negotiate this 4G deal outside of the – I guess the context of the current 3G deal, meaning that you didn’t wait for a renewal to occur. You were able to negotiate a separate deal. In the past we’ve talked about how effectively renewals help you to extend your patenting licensing contracts to new technologies. This seems to be maybe a departure from that where you’re actually going after current licensees and setting up separate 4G LTE deals. Is that really a change in strategy or is this like an approach that you plan on going forward with?
Bill Merritt: No. I think it’s not an unusual thing for us to have done. Actually if you go back and look at the numbers, the 2G deals that we had, we actually upgraded some of those deals to 3G while the 2G agreement was still in mid flight. It’s just that they want license for that technology. Other times – and it maybe be that what people have seen more often then maybe would find its way into the presses, things like LG where it did expire and that’s what people think is the normal course. But I actually – as I said before I think we have more opportunities with folks that have longer agreements to operate those other than needing to wait for anything to expire to do the upgrade.
Ron Shuttleworth – M Partners: Okay, great. And during the quarter, if you could maybe just give us an idea of how many patents were awarded this quarter in the US and internationally and then what percentage of those were 4G LTE, just in general buckets?
Bill Merritt: Yeah. We don’t – obviously we get a solid set of businesses out of the US Patent office every week. I guess they issue the patents on Tuesday and if you think about the – we created 1200 patents last year. So that’s roughly 3.5 to 4 patents a day coming out. So what issues, what week or what month obviously is dependent upon the particular patent office. A little bit of color though, I’d tell you that in terms of the LTE portfolio, Europe – generally European patent office generally tends to be a little slower than the US Patent office. But we’ve actually seen a little last year or so some very solid movement on the LTE portfolio. In some cases getting ahead of the 3G portfolio, which is good. 3G portfolio has obviously had a number of years in Europe to mature and it looks like we’re not needing to wait as many – a longer period of time in Europe to get that solid position built on LTE. So that’s a good thing.
Ron Shuttleworth – M Partners: And then segue into my final question and that is around, we’re seeing a lot of action between Samsung and Apple in Mannheim in particular. Just curious if your licensing team is looking at that jurisdiction as a way of maybe speeding up some of the future litigation activity that you could be involved in.
Bill Merritt: Oh, absolutely. I think that the European venues they – like every venue they’ve got their pluses and minuses. Germany is a very solid venue both in terms of the efficiency of the courts, but it’s also a big market for folks. So as we mentioned during the call, we’re very flexible in terms of how we structure deals. But if we can’t get the deals we want we will initiate litigation and that may not just be US based litigation. That could be European and other jurisdictions as well.
Ron Shuttleworth – M Partners: Okay, great. Sorry, one last question around Japan. 20% of the revenue you mentioned came from Japan. Is that down from – we’re still suffering a little bit from the Tsunami situation. Is that down year-over-year as a percentage from previous years or is it – have we recovered and are we steady state now in Japan around 20% of your licensing?
Scott McQuilkin: Yeah. It’s probably down a bit in absolute dollars on a percentage basis. Not the case only because 2010 with LG in the mix. If you look at where Japan ended up in Q4, I’d say our per unit royalties from Q3 to Q4 increased. That was certainly aided by reasonably good results in Japan which have been affected during 2011 by the Tsunami. So hard to tell, but I would say in terms of the Tsunami effect it looks like they are pretty close to being fully recovered from that.
Ron Shuttleworth – M Partners: Okay. Thanks so much for taking my questions.
Operator: We’ll take our next question from Bill Nasgovitz with Heartland Funds.
Bill Nasgovitz – Heartland Funds: Good morning. Just a couple of questions. First on buyback. Was that this year you were buying stock in calendar 2012 and how much is remaining on that buyback?
Scott McQuilkin: Yes, Bill. We have been buying this year fairly recently and there’s another $50 million under the existing $100 million authorization.
Bill Nasgovitz – Heartland Funds: Okay. And then it’s been over a year. Just any comments on NOK, this hearing which we’re waiting a decision?
Bill Merritt: Yes. We always say it will happen at 11:00, we just don’t know what day. It is – I think the last statistic I saw I think we’re the oldest case sitting at the ITC. So it’s unfortunate that it has taken this long. Obviously that’s not good, but the fact that we continue to believe we have a very strong case there and the longest we’ve seen a case go is 16 months. So maybe we’re in the final period of waiting for this decision. But we’ll see. It will be 11:00 and just a few minutes and we’ll see what happens.
Bill Nasgovitz – Heartland Funds: Okay. If we don’t win, what’s our alternative?
Bill Merritt: If we don’t win, obviously then one of the program – licensing program is actually run pretty well notwithstanding that loss. So we’ve done a good amount of deals without that particular item in the win column. We also have as you know the separate litigation against Nokia that will go to trial in the fall. So there’s a pretty near term opportunity then to create leverage against them again. So in an odd way the fact that it’s taken so long to the extent that the appeal could have an impact, then we’ve always said that we didn’t really think it would have significant impact. It’s pretty now close to the time to another event that can turn things around.
Bill Nasgovitz – Heartland Funds: Okay. Good luck. Thank you.
Operator: The next question comes from Jonathan Skeels with Davenport
Jonathan Skeels – Davenport & Company: Hi guys. In the past you’ve talked about pushing through higher rates on 4G deals. Can you just update us on that thought process and how you feel about those prospects now?
Bill Merritt: That is still the strategy and we feel very good about that because of our ability to do that.
Jonathan Skeels – Davenport & Company: Thanks.
Operator: It appears there are no further questions at this time. At this point I’d like to turn the conference back to you for any additional closing remarks.
Janet Point: All right. Thank you, Mercy and thanks everybody for dialing in this morning. I am as of course always available for additional follow up calls. So you can please call me directly and we’ll chat soon. Thanks. Take care.
Operator: That concludes today’s conference. Thank you for your participation.